Operator: Good morning, good afternoon, and good evening ladies and gentlemen. Welcome to the Samsonite International 2020 Annual Results Conference Call. Please note that this event is being recorded. I would now like to hand the conference over to Mr. William Yue, Senior Director of Investor Relations. Thank you. Please go ahead sir.
William Yue: Hello everyone. Thank you for taking the time to join this call. Today we have our CEO, Kyle Gendreau; and our CFO, Reza Taleghani here with us. And to kick off the call, Kyle -- Mr. Gendreau will be making a few remarks. So, without further ado, let's hand it over to Mr. Gendreau. Thank you.
Kyle Gendreau: Okay, great. Thanks William. Thanks everyone for joining in different time zones. So, I'm going to start on business update page four. And we've got a good presentation. I'll give you some overview of what we're seeing, Reza will give you some financial views, and then we'll wrap-up with our views and outlook. So, it's probably an understatement to say 2020 for our business was turbulent. But here in the company, we think there are many accomplishments to celebrate when we think about what we've done to position the company for future success. Just a few highlights on this page. Where our liquidity level still at $1.5 billion, it's about the same level from when we last presented to you. We've done an amazing job on managing kind of the cash burn which is really -- next point we've dramatically reduced the cash burn of the business with close to breakeven levels in Q4, just a slight negative of $4 million, some $64 million better than last quarter and dramatically better than Q2. As you know we've been on a mission to manage all of the levers that we can and we've generated over $670 million in cash savings as we navigate this business through including -- or in addition to that $126 million reduction in our working capital. So, in total, close to $800 million of in-year cash benefit that we've generated and we'll walk you through the details of that. Our employees have been amazingly dedicated to this business, rising to the challenges across the business. We're all personally impacted. Every employee in the company took a pay reduction. We've all been involved in restructuring the business to position it for future success. And as you know we've reduced our workforce and it takes a lot on the employees in running this business. But what I would tell you is we've got an amazing team amazingly dedicated and amazingly excited about our future. We've dramatically restructured the business. As you know we've been talking about this for the last two quarters. In-year savings, operating -- fixed operating expense savings of $325 million and this is from a starting point of really end of March stepping into April. I think more importantly, the annualized run-rate fixed savings as we step into this year will be $200 million and we continue to deliver on that and these will easily carry into this year. There's a few bits left to do. It's in that number and it's really around a handful of stores that we'll continue to close as we're moving into 2021. I think equally exciting and on the celebrating side as we continued this amazing push of our responsible journey which is our ESG efforts. And we've got some amazing products that we'll be launching and stepping out as business really starts to turn on with products like this Magnum Eco, which I'll show you a little bit later in the deck, which is a fully sustainable product, the shell, the lining, the inside of this product made out of 100% post-consumer waste really an amazing story. And then we continue to drive as you know our direct-to-consumer business with great success. And our non-travel products have continued to play really well in the mix of this. As you know we embarked on this several years ago to change the profile and the mix of this business and that's played really well during the pandemic for us. So, they go to page five, just shifting and I'll make sure the slides keep up. So, we are -- and I use the words carefully we are successfully managing. We in our view have managed this business through this pandemic. It's the entire team, okay? And what have we done? Early actions to reduce the cost and the cash burn of this business really has positioned Samsonite for an amazing future success. As I said, $670 million in in-year cash savings driven by over $325 million in fixed operating reductions. Fixed SG&A within adjusted EBITDA just for Q4 $94 million lower than Q4 of 2019, down around -- just under 40%. And our total SG&A in Q4 just to give you a sense is down 43% when I work in advertising and variable expenses. We'll have some details on that, but really dramatic, pulling up the levers that we can pull in the restructuring of this business to position ourselves for the future. Our teams on the working capital side have done an amazing job. I think I said on the last call, our sourcing teams have really managed this business amazingly well. Our working capital is down $126 million despite sales being down in the high 50s for the year. And that's really a function of managing inventories and managing our supplier base just perfectly. And we now start to lean forward you'll see when we talk about outlook that we're starting to bring in some inventory getting ready for this business to turn back on. But we achieved maximum benefit on the working capital side within the year. All of that combined really speaks to this Q4 cash burn, which was virtually breakeven better than what I think we guided you last time by quite a bit as we continue to kind of pull all the levers in a $64 million improvement from what we saw in Q3 of 2020. We have significant liquidity $1.5 billion. Again, as I said, the same number as when we last talked. And I am highly confident this company has the capacity to navigate through pandemic as we start to see really positive signs of improving trends. Our cost savings actions have really impacted the profitability of this business. When I look at Q4, our sales are down 58%. And we really start to get EBITDA approaching breakeven if I address out bad debt and inventory reserves, which are really a function of us making sure our balance sheet is in the right place. Our EBITDA would have been a loss of $24 million in Q4 with sales down 58% really speaks to the accomplishments we've done in managing the business. If we go to page 6, this gives you a good picture of the trends and really just the continuation of what we would have shown you at Q3. And you can see at the low -- in April, we were down 81% in sales. And what we've seen since then through much of this year a very consistent improving trend so that by the time we hit November, we're down around 55%. What we are seeing and you can see it in the world news is a bit of a slowdown in that recovery where it's kind of leveled out at down around 57%, 58% and it's really a function of kind of the resurgence we've seen in some of the COVID cases. That starts to feel like it will be offset with the amazing progress we're seeing on vaccines as well. And I'll show you that in a little bit later and you guys are all living it together with us as we watch the world navigate through this. On Page 7, just clear we've been focused on cash preservation and fixed operating expenses in this business. And it really is to position this business for a wonderful turn on when things start to move again. As I said, we identified $670 million in-year cash savings that's coming from fixed expense reductions $325 million, meaningful permanent headcount reductions. I'll walk you through some of that, meaningful adjustment in some of our store fleet with store closures. On a bit more of the temporary side, we've been able to achieve significant savings from furloughs, salary reduction, bonus eliminations, amazing work on rent rebates and abatements and we'll walk you through that and other temporary savings that all feed into our ability to manage the cash. We pulled the levers on advertising. As we've talked about in prior quarters, full year impact around $116 million of advertising savings year-over-year, and really in my view very little impact to the business. The whole world has kind of trenched in here on travel, and we'll push this lever forward when we're ready to but it was the right thing to do in this past year. We suspended distribution to shareholders $125 million year-over-year. We will continue to suspend that as we're in 2021. Our CapEx has been amazingly managed. Reza will walk through some of the details, but $103 million reduction in CapEx when we look at that versus the 2020 plan. And we continue to execute on savings initiatives. We continue to manage things very closely. There's not one employee in the business that isn't focused on ensuring every dollar we spend is tightly monitored. And really it's spoken to the movements we made in EBITDA, and more importantly, through cash flow. And I think when you blend all that together and despite kind of a weak environment, these savings really do impact where we are in the business from an overall cash perspective $800 million in-year cash savings from all the levers that we're able to pull. On page 8, this just gives you and we showed you I think a version of this in the last quarter and it's just continued really how quickly we've been able to adjust the cost side of this business. And you can see Q2, Q3 and Q4 all down in the solid kind of mid-40%. We start to see it being a little less than what it was in Q3 and Q4 as we start to turn on some store openings. So as the world started to move you end up with a little bit more store openings. But I think what's really important is when you look at the fixed cost structure, which is the dark blue line and that's staying very consistent as a percentage of sales continues to dramatically improve when -- against the sales numbers. So -- Reza will cover some of that in more detail in his section. And then on page 9 and just making sure the slides are keeping up I think they are. Really just a bit more color on what we did to manage the cost structures. We've taken the very difficult actions to position this business for the future that included significant reductions at headcount, meaningful store resets and every other spot where we can manage our fixed cost. And I think what's important here is our teams remain engaged, energized and ready to capture the demand as the travel business really starts to turn on. Overall, we -- between headcount reductions and store actions, we have in-year permanent savings of $65 million. That translates to run rate savings as we exit into -- or we step into 2021 of $200 million. We've taken significant action on the organization, with a 26% reduction in our non-retail headcount across the globe, okay, which is resulting in around $80 million of go-forward savings of which we're -- Reza and I feel very confident we'll be able to maintain as the business turns on in 2021. We've taken significant action on our retail fleet. Well over 50% of our retail fleet we've taken some action on including store closures where we've closed in-year 260 stores and we have negotiated early exits for additional 34 stores in 2021. And we've renegotiated leases and the rents on 200 stores resulting in in-year savings of over $10 million and that will carry into next year as well. Page 10, I think, does a very good job of capturing the progress we've made. There's a few points on this page. First is the purple line that you see on this page, okay? This is the cash burn. You can see Q1 which is typically a quarter where we use some cash as we get ready for the seasonal inflow of inventories as we get ready for the summer selling. And so Q1 was really pandemic kicking in at the end, but we had a cash burn which is normal for us. You can see dramatically, the Q2 impact as our business effectually stopped moving in April and how the $167 million negative cash. And then we were happy to report in Q3 when we reported to you 67 -- that we dramatically reduced the burn there by almost $100 million to $67 million. And then as we were looking forward to Q4, our indications at that time was we'd be burned probably around $50 million or $60 million where we came in well ahead of that with a cash burn of just $4 million or just shy of $4 million for the quarter. I think the other important piece is looking at the progression we've had on EBITDA, which is the blue bar in the page. $127 million negative in Q4, $50 million in Q3, $45 million in Q2 and if I --adjust I mean Q4, and if I adjust the Q4 numbers for inventory reserves and bad debt that number is a negative $24 million. So really dramatically and quickly adjusting the EBITDA impacts of the pandemic as we've taken actions across the business. And then I point out the red bar which is Asia. This is Asia consolidated and Asia had shifted to positive EBITDA in Q3 remains in Q4 and we're seeing positive EBITDA for Asia in Q1 as that business continues to progress. We have a slide on China. China has done amazingly well. And all of Asia has done an amazing job of getting back to positive EBITDA. On page 11 really just a little more focus on kind of our cash position. So again, significant liquidity $1.5 billion. I have full confidence in the ability from a liquidity perspective for us to navigate this business through the pandemic. Our cash at the end of the year is $1.5 billion versus the end of the previous year was $467 million. Our net debt is $1.7 billion versus we entered the year at $1.3 billion. That's really a function of us navigating through the pandemic. We bolstered as you remember our balance sheet. We draw on our revolver $810 million. We went out to market and took in another $600 million of Term Loan B really to ensure we have liquidity and control to navigate this thing through -- this business through the pandemic. And you can see here again a repeat of the chart, but how quickly we've adjusted the cash burn. And this is really what gives me this solid comfort that we've pulled every lever that we can in this business to position ourselves to navigate through of which we will. Switching to the next slide, a couple of bright spots on initiatives and areas of focus that we were focusing on well before the pandemic, but then really played into some of our successes this year. One is our non-travel continued to do well. And as a percentage of sales, it's the blue bars to the left went from 10% of sales to 14% of sales which would be obvious considering the lockdowns that we saw on retail footprint. Underlying growth of our e-commerce business down 43% versus our brick-and-mortar stores and wholesale customers down closer to 63%. And then if we look at our non-travel category, non-travel in this year is 50 -- a little over 50% of our sales which is a target we've always set out for ourselves, again a bit obvious that there would be more non-travel than travel products. But as a percentage of sales that's a meaningful improvement and again a decline year-over-year down around 47% versus travel being down around 64%. So the mix of this non-travel category in our business, which will continue to be a huge piece of our forward success played really well during the pandemic for us as well. And on the next page you can get just a snapshot of how the brands performing. You can clearly see brands within our portfolio that were non-travel performed dramatically better. Gregory outdoor bags really an amazing year down 27%. We start to see some really positive shoots as we step into the beginning of this year as people got outdoors and had more time for active outdoor exploring and Gregory has played really well. Speck continue to do well against the rest of our business. And I think the thing I would point out is within all of our core brands the non-travel components within brand Samsonite and Tumi, particularly, continue to perform very, very well in the mix of the pandemic. And then just a bit on outlook. So we've seen the slowdown in recovery for sure. Okay. You can't miss it in the news particularly in markets like Europe where we're seeing kind of fresh lockdowns. We see pockets within Europe starting to figure how to turn it on, but we've seen Italy switch off. We've seen vaccination rollouts really benefiting the US market. But all of that really means this resurgence has resulted in a bit of a slowdown in travel really from travel restrictions and some force closures that have carried into Q1. Our view from where we're sitting today is our Q1 growth rate looks about like what Q4 looks like. But we start to see really positive signs as we step into Q2. We'll cover that in a bit. Positive news on vaccines really starting to pick up pace, but the rollout will continue to take time. We've seen traffic -- ticket bookings slowdown at the beginning of 2020, but our forward booking trends across the globe we see really positive improving signs and dramatically in the US we'll cover that in a second. And again as I said, our continued focus on travel and our competitive cost structure this business is really positioned well as travel rebounds and we start to benefit from that. On Slide 15, just a snapshot on the US, okay this is effectively enplanement so numbers of travelers in the US and you can see the low is in 80, really dramatic down around 96% at the lowest point. And you can see how much that's improved over the year, down 48% at the end of February versus 2019. In the last week, we've seen amazing travel numbers in the US, Passenger enplanements 1.3 million from the one million kind of high that we saw in October really stepping up. So across this past weekend we saw over 300 million travelers through the US, TSA. And that trend continues in the US -- so I think that's very positive. If you look at the next page just gives a bit of a global overview of travel. And I think two things to take away on this page: One, this is a consolidated number. This is global revenue passenger kilometer, per kilometer. And you can see that a very steady trend. And right at the end; this is the red line, right at the end in December and January you can see the slowdown that we were talking about here really around resurgences that we saw across the globe from a virus perspective. That slowed that down. We see that kind of carrying into February particularly in markets like Europe. But we start to feel some positive signs on forward bookings for that as we step into end of March and into April. I think the international travel, as we'd all expect is going to take some time to move as borders start to open. But even here you've seen a slow steady sequential improvement in international travel. And that I think will need more time for vaccinations to roll out before we start to see that really move for us as well. On the vaccine side, there's lots of data points that you can go look but we've tried to capture here kind of in a summary. This is updated as of March 16 so pretty updated. 381 million vaccine doses have been administered worldwide. You can see the number of doses of day has dramatically improved. I think globally we're just shy of 10 million doses a day. The US -- is approaching 2.5 million a day and I think that will continue to grow. You can see the number of shots first and this chart is number of first shorts and the percentage of people who have received at least one dose. And you can see every one of these things move and we've been updating this every other week and it's quite dramatic how this continues to move. This is important for us. As the world gets vaccinated and starts to move, this will make a difference on the travel sector for sure. And just from a US perspective, I think the latest I've seen is that we're assuming that will be close to 70% vaccinated by the time we get into the August timeframe for the US which is really a dramatic improvement. Okay. And then we've stayed committed to our sustainability push. As most of you will remember right at the start of COVID, we launched what we call our responsible journey which is our really focused approach to managing the business, ESG program and we've continued with that in the midst of this. And I think it will be one of the wonderful pieces that we step out of when things really start to turn on. We're well positioned here to continue to tell the story. And we're well positioned to show some amazing products that we've been working on that we'll be launching very quickly. Our entire team has embraced this and I think it's a big part of what we've done. One of the measures that we've been using is water bottles. We've diverted more than 68 million RPT -- rPET water bottles into our products. And I'm about to show you some products we're really starting to use other post-consumer waste into our products as well. So we're quite excited about this. We have a lot of story to tell as the business starts to turn on in this front. We've been on Page 19. We've been working with partners around the world from materials and a recycling perspective. And we're quite excited. We had launched this product S'Cure Eco, I think two years ago now. And this past year this won an award in Europe. It won kind of recycled household and leisure product of the year in 2002 for plastic recycling in Europe. This is an amazing product when I first saw it, I immediately asked for one in my office and it's just an amazing story of what you can do. This is 100% post-consumer waste outer shell interlining post-consumer water bottles a really good story. And if we go to the next page, I'm quite excited for this Magnum Eco which we'll be launching in the second half. We will start to talk about this very quickly here and this is a product that's really the next-generation of that S'Cure Eco. I'm on Page 20. And it really talks about all of the initiatives we have from a sustainability and recycle perspective. We call this bag effectively the yogurt cup. It's made out of 100 -- the outer shell 100% post-consumer recycled waste regrinded and turned into a shell. The interior lining is made out of recycled water bottles. We've been able to work in amazing colors into this as we -- as the technology and the partnering with the producers here to really get something that's wonderful. And this will be launching. We're going to have this as a global launch. So often we have products that run well within one or two regions. This we're going to launch around all of our regions across the second half -- the first half of 2021 and into the second half of 2021. So, I'm quite excited for this watch for that and there's a wonderful story there. If you go to page 21, all of our brands are focused. So that was a Samsonite example. Every of our brands are focused here. And I thought this example is a wonderful, Tumi example, I wanted to share. This is launching in the back half of the year. This is our 19-degree polycarbonate case, which has been usually successful. And in the second half of the year, we'll be launching this made out of 100% post-industrial polycarbonate into the shell. The liner will be 100% post-consumer rPET effectively water bottles and a wonderful story for Tumi. And it's just a small example of many collections that we're working on across all of our brands on a recycled materials basis. And I would tell you our teams are highly energized as we move forward on that journey. So with that, I'm going to turn it to Reza for a financial update, and then, I'll come back at the end, with a little more context on outlook.
Reza Taleghani: Thanks, Kyle, and we are on slide 23. So, overall, the result highlights. The annual results net sales we're reporting a little bit north of $1.5 billion in sales. I think what's important on the sales number is to look to the point that Kyle raised, a little bit earlier the sequential improvement as we were looking at the various quarters. So, Q4 was down 58% in constant currency terms. Obviously, Q2 was the low point for the year, almost down 80% in terms of sales. So that sequential improvement, I think is important to our business. What's also important is the actions that we've taken around the cost structure to try to offset some of that, and there'll be a bridge that I'll do in a couple of slides to cover that. In terms of gross margin, gross profit margin decreased 46% for the year -- it decreased to 46% from 55.4%. What works its way into gross margin? Obviously, there's the impact that's happening from sales mix, but there's also increased provision for inventory reserves. We also operate our own factories. So, the cost of those factories, are spread out over a lower sales number. If we were to exclude the impact of those inventory reserves, fixed sourcing, et cetera, gross margin decreased by 374 basis points. And again, obviously, that's due to the weakened sales environment that we have. As it relates to adjusted EBITDA, we did manage to claw back due to the actions that we've taken significantly on SG&A. We're reporting adjusted EBITDA of negative $219 million. Again, I think the story quarter-after-quarter is important here. So, we started off the year with a positive EBITDA $4.9 million; Q2 we were negative to the tune of almost negative $128 million; Q3 we managed to have the benefit of some of those cost saves coming in, so we were around negative $50 million; and then, Q4 EBITDA, on an adjusted basis, was negative $45 million. So, we are approaching that breakeven point due to the fact that we've taken significant actions on costs. And as we look at net income, it's the flow-through effect of the EBITDA. And obviously, we have increased interest expense this year due to the fact that we've bolstered our liquidity position as well. The one point that I'll just also make on adjusted net income, because I'm sure the question will come up a little bit later. The tax rate this year is going to be a little bit wonky driven by the fact that we actually had an income tax benefit of $94 million as compared to an income back tax expense in the prior year of $31 million. So, the reported ETR that you're going to see is 6.8%. But I think for modeling purposes we're going to just make sure that you're looking at a normalized EBITDA, if you were to exclude all of the one-offs that happened due to impairments and other things around the mid-25s is what we would guide you to in that regard. On page 24, as you're looking at sales across the regions, obviously, all of the regions were impacted by COVID, but Asia did have the benefit of entering it a little bit earlier and exiting it a little bit faster as well. So, Asia is moving a little bit more so than the other regions. And what I would draw your attention to is on the bottom of the page, really the Q4 number, just to update everybody since the last time that we gathered together. North America in Q4 was down minus 56.6%; Asia down minus 56%; and Europe down 67%, which is really the point that Kyle was alluding to that there are -- they are -- Europe is behind on the vaccine front and you have countries that are shutting down again. And then, Latin America down 43%. Our Latin America business, obviously, benefits from the fact that Chile is the largest country and Chile on the previous chart that you saw in vaccination is far ahead of many countries internationally. So that helps the Latin America numbers for us. On page 25, this is the bridge that I was referring to in terms of looking at what happens with our savings initiatives over the course of the year. So on the left-hand side of the page is the reported EBITDA number that we have for 2019 at $492.2 million. There was a bit of FX impact in the next bar. The next bar that you see is the almost $1.150 billion of gross profit decrease due to the fact that of COVID-related decrease in sales that happened over the course of the year. So, if we just sat on our hands, we would have been in even a deeper hole than we ended up. And so -- and then, you had a component of that, which is the next bar, which is there was also some gross profit decrease due to lower margin. I think the point there is really that if you were to take out the inventory reserves, that we did in terms of trying to make sure that our balance sheet is in the right position, that number would have been closer to $88 million, $88.9 million. And then, we begin basically all of the actions that management has taken, which we're very proud of over the course of the last year. The decrease in variable SG&A, the $169 million benefit, that's the point that we've talked about through the years really around the fact that our business does flex naturally. So that variable component of SG&A happened as a result of the lower sales. We did have some bad debt, so approximately $23 million of bad debt expense as you would imagine going into this period, which we did manage actually pretty closely. And then the significant amount of the actions that, I would say that, we're very proud of is we pulled the advertising level very, very early on. And so we have a almost $116 million benefit from decreased advertising. And then the large component next bar is the $312 million of fixed SG&A decrease from our savings actions. That was very, very hard work, which we're very proud of. The other thing that, I would note is, this is the EBITDA component of it. There's another $16 million of non-EBITDA savings that also came about as a result of these. So there's depreciation savings, stock comp savings, et cetera, as well. So said in another way, if we hadn't done anything we would have been unfortunately sitting in a position of negative $647 million of EBITDA. But through these actions, we managed to narrow that to negative $218.8 million. And obviously, these benefits that we've taken continue into this year and beyond, which is something that we're looking forward to. On page 26, just a little bit increased information and a deeper dive in terms of the gross margin pressures. We felt that we should basically decouple this a little bit. So you can see, the walk between the 2019, gross margin of 55.4% working its way down to the 46% that we saw this year. There was a change in inventory provisions for inventory reserves so that had about a 3.5% impact. It's roughly a little bit shy of $60 million of inventory reserves that worked its way into the gross margin number. The manufacturing and sourcing expenses that are on the lower net base. Again, this is from the fact that we have our three factories that are still running and you have lower sales that had a 140 basis point impact on gross margin. We had an 80 basis point impact of restructuring charges and non-cash impairment that worked its way to the gross margin line. And then the impact of sales mix and promotional activity is really that 370 basis point number that you're looking at there. Going to the next page, just in terms of some of the additional financial highlights. So, as we mentioned, net sales decreased by 57.5%. And again, I think the point is really looking at the quarterly progression of that and the negative 58.1% for Q4. Obviously, adjusted EBITDA we just said $218.8 million negative. More than half of the annual adjusted EBITDA loss was attributable to Q2, but then we quickly address the cost savings initiatives, and try to narrow that gap over the course of the year. We had $63 million of restructuring charges that's basically a breakdown in terms of headcount reductions for severance payments that we made store closure costs and some other that are in that. So it has a meaningful impact in terms of the fixed cost base. And then during 2020, we had impairment charges, which we've talked about on our previous calls, the bulk of them were early on in the year in Q2, but non-cash impairment charges in aggregate totaled $920 million, $140 million of that is for the lease right-of-use assets that we have on the books, $35 million for PP&E and then $775 million non-cash impairment of goodwill and trade names. Most of that again that last point was done earlier in the year, but we do typically do our impairment testing at the end of October. So there was a little bit more that was in Q4, but the bulk of that was earlier on in the year. On page 28, net working capital $126 million lower than 2019. Again, the bulk of that you'll see on a subsequent slide was lower inventory and that's something that we aggressively worked which is – if you think about it in the lower sales environment to still be able to meaningfully work down our inventory levels is a testament to the sourcing team, how actively we manage the operations in terms of new inventory coming in, and still managing down inventory levels during the course of the year. CapEx, we had a virtual freeze after basically Q1. And if you look at it, we ended the year very positively. So our total CapEx ended up being $26 million for 2020. Again, the bulk of it you've seen the walk as we went through this on the Q3 results, the bulk of that was in Q1. So it's virtually very, very minimal to the single-digit millions CapEx happening right now. We're ending the year with just shy of $1.5 billion of cash and cash equivalents, liquidity of approximately $1.5 billion, basically the same number that we showed at the end of Q3, and that's largely due to the fact that we had almost no cash burn in Q4. Total cash burn for the year $360 million. Obviously, the bulk of that was in Q2, which we had talked about before the half and that should benefit. Now as we work our way into Q1, I'll just say that, there is seasonal build that happens in cash burn in Q1. So there is going to be some inventory build that will happen there. And Kyle will cover that in his section as we talk about the outlook. So on page 29, I'll spend a little bit of time just digging into the cost savings initiatives a little bit. So overall, we're reporting $200 million of run rate benefits, which if you think about, the EBITDA number that we had for 2019, we were just shy of $500 million of EBITDA. To say that, we actively managed the cost structure of this business to have $200 million of recurring benefit is a meaningful improvement, and it's going to have very good margin impact as we enter next year and beyond. You can see, the total fixed costs that we have identified $328 million of savings the permanent number for 2020 was $65 million. But the reason that that $65 million translates into $200 million is obviously the timing of that. So you close a store in Q4, you get a full year benefit of it. If you terminate an employee in Q4, you end up getting a full year benefit of that. And so the breakdown of that is basically through a mix of headcount actions, store actions and there is more that's been identified that even in Q1, we're continuing to execute on. So the $200 million is where we think is an accurate number as we move forward.  The point that I'll raise in terms of our retail, we have always said that we have targeted expansion as we look at our retail fleet. I think you should think about us remaining very disciplined and very flat in terms of our store count for the year. So the actions that we've taken around stores in terms of meaningfully reducing, we had end of year 2019 just shy of 1300 stores.  We ended 2020 at 1096 in terms of our store count and we think that there will be some further store closures that will happen early on in this year. And the net number by the end of the year you should think of us in the same sort of ZIP code in that. I'm sure during the Q&A, there'll be some questions on SG&A in which case I can dig into it a little bit deeper in terms of the fixed and variable component, but I'll wait for questions on that specifically.  On page 30, the reason we wanted to highlight Asia specifically is because Asia is on the forward end of the curve in terms of coming out of COVID. They -- obviously especially, if you think about China, they went into the COVID environment earlier and they're exiting earlier. So what we're seeing in China now is obviously not very much international travel, but domestic travel has recovered.  And I think what's important to look at is what happens to Asia overall and then I'll on the next -- the following slide show you China specifically, that given the benefit of the significant actions on our cost structure, what happens to our EBITDA even if we don't return to the same sort of sales levels.  So as you can see and I'm looking at the Q4 number, Q4 with sales down 58.1% in -- and this is for the total company sales down 58.1% compared to 2019, our adjusted EBITDA was $24.2 million.  In Asia with sales down 56%, they reported positive EBITDA -- adjusted EBITDA of $1.3 million. And then if you were to back out, there were some bad debt expense that happened in the region that we wouldn't necessarily expect to be recurring. If you were to back that out it would have been $7.5 million.  Now Asia does have a slightly higher-margin profile than some of the other regions. But overall what we're expecting for our business given the actions that we've taken on cost is a much, much lower breakeven point and more importantly, when we return to higher revenue numbers not even approaching 2019 frankly. But even at a 20%, 30% discount to 2019 levels on revenue, we expect the EBITDA margin of this business to be significantly higher than it's been in the past -- over the past couple of years.  And on the next slide, I think it warrants us looking at China specifically. So on this slide you're looking at, net sales and adjusted EBITDA margin for China specifically. And what's interesting is if you're looking at the purple line, which shows the 2020 adjusted EBITDA percentage, so obviously Q1, you saw a significant decrease in the sales and you saw 0.3% for that number. As a result of the cost savings actions by the time we looked at Q4, Q4 the business was showing 17% in terms of the Chinese EBITDA margin despite the fact that sales were still down 33.7%.  And so we're looking at this and saying, this is what we expect the business overall to trend towards. Again, the margin profile for the country is slightly different. But I think if you're thinking about the cost structure story you should be thinking something similar for the rest of our business.  On page 32, this is a slide that Kyle had a little bit earlier. I'll just dig in a little bit in terms of some details on the breakdown. So on the bottom of the page you'll see, what we've done on SG&A including advertising. So total SG&A within adjusted EBITDA decreased by $159.2 million or 43%, if you're looking at the Q4 versus Q4 comparison.  The reason we're identifying the Q4 number specifically is obviously a lot of the actions on our costs have been taken in Q2 and Q3. But I will tell you we did continue to take more actions in Q4 and there's more in Q1 as well. So we keep -- from a management perspective, looking at that exit run rate that comes out of every month and looking at that benefit improving month-over-month.  As it relates to the balance sheet, I think we're very happy in terms of where the cash burn is. So our liquidity position we feel is very strong. Liquidity of $1518.3 million is where we ended the year, which includes our revolver capacity as well as the cash that we had on hand. As we think about our balance sheet as it relates to our covenant, our projections sitting here today are that we feel that we will meet our covenants that will be measured in Q3.  Obviously that's a function of our -- of the sales environment recovering and doesn't have to recover in any near where it was in 2019, but we forecast that we should be okay to meet those obligations. And we do have significant liquidity and I don't think we have any concerns in terms of our liquidity position going into this year given where our cash is. And as we think about Q1 that trend is continuing and we feel pretty good about it.  On page 34, as it relates to working capital specifically, I mentioned this in the highlights at the very beginning that a point that I do think is focusing on is the fact that inventories and working capital overall was reduced significantly year-over-year. This was quite a feat for the teams to have inventory levels come down $131.4 million, despite the depressed sales environment. I think it also helped in terms of some of the SKU rationalization that we were looking at that positions us well in terms of 2021 and beyond.  And overall, we also did have some bad debt that worked its way into these. So in terms of the reserve levels of our bad debts, there's been some incremental reserves that were taken at the end of the year, yet these numbers still were something that we were very proud of. And really to that inventory point and purchasing on Slide 35, this is showing you the global supply receipts that were happening over 2020 versus 2019. The point here is that very, very early on, the supply team dialed back in all of the regions dialed back on their inventory purchases. And you can see what that growth trend line looks like, as it compares to two years. This is what's really helping us in terms of our working capital benefit. Very, very disciplined in terms of product purchasing. And very good focus on the teams in terms of disposing of the SKUs that we felt weren't going to be the runners going into this year and beyond. This – the purchasing is something that's going to start to pick up in Q1, because we anticipate that this year, especially in the back half, we're going to have sales recovery that's going to be happening. And so you should expect that there will be increased purchasing that will happen in terms of the supply chain. And finally in terms of CapEx, something we talked about in terms of the highlights. Overall, CapEx for the year $20.6 million, if you include the software purchases $26.1 million compared to CapEx in the prior year of $74.5 million. I think the really important point here is if you look at the quarterly breakdown of it. Out of that $26.1 million, $19.2 million of it was in Q1. And so it goes to show you the flexibility we have in our operating model of really dialing back CapEx when we need to and we've been very disciplined on that as we continue into this year. So with that I'll turn it over to Kyle to talk about the outlook.
Kyle Gendreau: Okay. Thanks, Reza. Okay. So I have two outlook pages. Normally, we have kind of an overall page, but I have an outlook and then kind of near-term focus, which I think are important when you think about how we're positioned here. One on the outlook, we are heartened to see the improvements that we've been seeing sequential improvements through 2020. We've seen a meaningful improvement from Q4 – I mean from Q3 to Q4. We have seen some temporary slowdown. We've seen it carry into kind of January, February, as we showed you. March is looking about the same as February. And so we do see some slowdown that we're managing through. But I think our views are the pace of recovery will pick up. We're seeing an improving trend in forward bookings across the globe, particularly in the US as I said. And we're seeing meaningful rollout of vaccinations and I do think that that's going to be important to us as this – as the world starts to turn on and people start to travel. What I don't think is lost in any conversation is people's desire to travel. And so I'm sure many of you on the phone are thinking about when your forward trip is going to be. I personally been booking trips through the rest of the year. And I think that built up kind of demand is definitely coming. We can see it across all of our markets. Just to be a little more specific on what I think we will see. I think our Q1 numbers are going to look very similar to Q4, okay? I think our Q2 numbers will show an improving trend. But I still think Q2 will probably be in the range of down 50%, I'd say low 50% versus 2019. And then when we look at the second half, okay and what's important in the second half will be what I talked about from a margin perspective, I think the second half for this business will still be down somewhere in the 30% to 40% range to 2019, as the world really continues to recover. I think international travel and borders will be important as we kind of start to take more forward steps. But for second half, I think, we'll still be in this kind of down 30% to 40%. The positive part with that is at that down 30% and 40%, when we look at what we've done to position the business for success with the actions we've taken, we clearly and comfortably see the EBITDA margins for this business really exiting 2021, comfortably in the mid-teens levels, back to levels that we were before we went into pandemic with the business still having kind of run rate for recovery going on. And so, I think it's a really positive outlook for us from an EBITDA margin perspective. Our teams are all laser-focused on this. And from where we sit today, we can easily and comfortably see us getting back to an exit mid-teens run rate from an EBITDA margin perspective. From a near-term focus perspective, obviously this is my last slide and we'll go to Q&A. One, we've been very focused on our employees and the safety and well-being of our employees, our customers, our partners. We've stayed in good touch with all of them and I think it's been kind of a top priority for us. We have a good meaningful retail fleet, making sure those employees are safe. Our suppliers, we've been very conscious about the apps we've had across all of our partners and our suppliers to make sure everybody stays safe and it's across the company. We've taken significant action, as you've seen in our presentation on, preserving cash and reducing fixed costs. And really what we have our teams focus on Reza and I are on, making sure that we maintain this lower cost structure, which as I just said will have an amazing impact on the kind of profitability of this business as the group's sales really start to recover. We have a recovery in an opening plan and we've had many markets where the stores have reopened and opening those stores in the most cost effective safe and efficient way. So as the company really starts to emerge from this our profit profile will be in line with kind of a growing market business – a growing business and we should be able to grow our market share. We are clearly in the right position to continue to gain market share as the world starts to travel again. We've been very focused on our employees. This restructuring action has impacted all of us from an employee perspective and really making sure that our teams stay energized and empowered to navigate through. This has been really an important piece for this. We're a small organization, but I think we are a stronger organization, as we move into the recovery phase of the pandemic, and I can't be prouder of all the employees. It's just been an amazing effort across the globe. We have an amazing diverse set of products and an amazing diverse set of brands. All of that is going to play well as we really start to turn on again. And no different than what we would have told you pre-COVID. All of that differentiation across regions and this kind of empowered regional teams really will make a big difference as the world opens at different paces as we continue into this year. You heard me say we're continuing to be laser-focused on sustainability innovation and the long-term strategies, which will help this business be hugely successful. We do think smaller players within our space our competitors will struggle, but I think it will be a highly competitive marketplace on the other side of this so -- but really scale advantage should allow us to kind of step ahead of many of our competitors as we start to move forward. And then as we've said a few times, we're fully confident in our ability to navigate with the liquidity that we have in hand what we've done to manage down the cash burn in this business. And I think we're sitting in a wonderful position when this business continues to recover and steps into the end of this year and into next year as well. So with that, William, we can open it up to Q&A. As always, we're pretty thorough. So we used a big chunk of our time here to really give you guys a good picture, but we're happy to answer some questions.
William Yue: Great. Thank you very much Kyle and Reza for the presentation. And now we are open to Q&A. I think on the line, we have from HSBC, Erwan Rambourg, so why don't we start with him first.
Operator: Thank you. [Operator Instructions] Our first question comes from Erwan Rambourg with HSBC. Please go ahead. Thank you.
Erwan Rambourg: Yes. Thanks for taking the question and thanks for the presentation. A few things. I think Kyle you said that Q1 shouldn't be too different to Q4. I'm just wondering so I understand there are more restrictions affecting basically January, February, but theoretically March should be more favorable in terms of basis of comparison. So I'm just wondering if you can give a bit more granularity in terms of what sales we can hope for? And if you might be close to breakeven this quarter given what you showed in Asia in Q4? Secondly, you're talking about exiting 2020 comfortably in the mid-teens level in terms of EBITDA margin, which is pretty remarkable. Again, I know visibility on this year is not great. But where do you see the EBITDA margin landing this year or maybe not precisely, because I guess there are too many moving parts, but maybe a range? And then last one for Reza. CapEx was cut dramatically to mid-20s million from I think a bit more than $100 million. Should we expect CapEx to remain relatively low this year? Thank you.
Kyle Gendreau: Yes. So from a Q1 perspective, Erwan, March is looking from where we sit today about similar to February, which is in the deck here. So down around 58%, 59%, I'd say. And I would say that we're seeing some pockets where it's trending a little better, but then Europe is maybe trending just as tough as what we saw kind of stepping in. So blended it's feeling about the same as February. And so you can get a sense for what we think for Q1. From an EBITDA perspective for Q1, one thing to remember is these are growth rates off of the previous year. In Q1, it's typically our smallest revenue quarter in our smallest profit quarter. Our EBITDA will be better than what you saw for Q4 in dollars perspective, but still not be quite to breakeven really because of the sales shortfall that we're seeing. We had an intention to be positive in Q1. And all of the initiatives we were doing have driven to that, but the slowdown that we saw that started really in December and carried in just keeping us just shy of it, Erwan. So you'll see improvement, but we won't quite get to breakeven. From where we sit today, we think Q2 will be a breakeven a pot-not breakeven, but a positive EBITDA quarter for us. 
Reza Taleghani: Right. And Erwan as it relates to CapEx, last year we obviously dialed back. We are still in Q1 being very, very disciplined around it. If you think about what our CapEx spend goes to we're not going to be spending on a lot of store remodels or anything like that. There is some molds and other things that have to have racking in distribution centers that we have to spend on simply because things are going to be ramping up again. So we won't be at the same level as last year. We'll probably end up by the end of the year somewhere between 2019 and 2020. I won't give you an exact number to that, but there is some -- and there's some also software purchases and things like that that we delayed into this year that will happen. Again, it's going to be a function of right now we're not doing anything, but if I have to look at the back half of the year, we see the sales environment picking up then those are the things that we've deferred that we probably will try to get into this year.
Erwan Rambourg: That's helpful. Thank you.
Kyle Gendreau: Yes. And then for full year EBITDA just for kind of range we -- from where we sit today we'll have a positive EBITDA for the full year obviously. I have been pushing the teams to get close to 10% in-year EBITDA. I think we'll be in the range of somewhere kind of mid-single to 10% is the way. If we didn't see this kind of slowdown that we saw in Q1, I think, we would have been very close to that. And as I said I think our exit run rate will be comfortably mid-teens EBITDA, so you can kind of do the math from that Erwan. And -- but we're really pushing ourselves to kind of get to that zone. And really important for us is run rate EBITDA as we go into next year. And that's where Reza and I and the teams are very excited about everything that we've done, because we've positioned this business to have a really wonderful story as the recovery continues. And that mid-teens level is still a business that's not recovered to 2019 levels yet, which was really positive news for us.
Erwan Rambourg: Excellent. Thanks a lot, and best of luck. Thanks.
Kyle Gendreau: Thanks, Erwan.
Operator: Thank you. Our next question comes from Luzi Li of Bank of America. Please go ahead. Thank you.
Luzi Li: Thank you. Thank you, management. So first question from me is I remember that we talk about China trends in the last -- in Q3 earnings call that in October, it seems like China revenue was down 18%. But this time we actually saw 34% down. So is there any reason behind that? Can you explain the ups and downs in terms of the recovery pace? And this is my first question. And the second question, you mentioned that this year the adjusted EBITDA margin will be mid to high-single digit to 10%, so next year will be like mid-teens. So what, kind of, sales level in next year will be versus 2019? This is because I think we need to calculate something like net leverage ratio because -- and interest cover, because starting from the third quarter of 2022 we need to be back to the combinate test right? So just want to make sure we don't have any questions on that part. Thank you.
Reza Taleghani: So let me start by answering the China question. You're right. In October, our China sales were down just shy of 18% or just actually slightly better than 18%. In November and December, it actually stepped back down. So if you're looking at the monthly numbers for China, November was down 33% and then December was down 47%. There was some level of -- there were some wholesale purchasing that was happening with that. The stores are actually performing pretty well. So that's continuing. I'll tell you that as we enter January and February, the numbers are actually pretty favorable. And the reason behind that is they're also comping now against what was a very weak or a weaker January and February last year, because COVID obviously hit China in the early part of last year. So that's as it relates to China. Did you want to address the second question or…?
Kyle Gendreau: No.
Reza Taleghani: So talking about sales and leverage what we're -- we have run a lot of sensitivity analyses around Q3, Q4. You have to keep in mind that the measurement period is going to be at the end of Q3. As we sit here looking at our revenue forecast by quarter, we feel comfortable that we'll meet our debt covenants both for Q3, Q4, Q1 of next year as well. Just so you're aware that it's part of our going concern analysis that we have to do as well. So we've run a lot of sensitivities over the course of that. That's -- assuming even a revenue environment, which Kyle alluded to a little bit earlier that is still down compared to 2019 levels. If it's 20%, 30%, 40% even in that environment we're still able to meet our debt covenants. So, obviously, we still have to continue to monitor that to make sure that the sales over the summer do pick up. And the way that we are looking at that is looking at the vaccination rate that's happening globally. But sitting here today based on even reduced sales levels and with a comfortable cushion on top of that, we feel pretty comfortable that we will meet our covenants both this year and beyond.
Luzi Li: Thank you.
Operator: Thank you. Our next question comes from Anne Ling with Jefferies. Please go ahead. Thank you.
Anne Ling: Thank you. Thank you very much for the presentation. Sorry, also to clarify, I just want to clarify the sales assumption. Kyle, did you mention that second quarter downturn 50%, second half down 30% to 40%. This is against the 2019's level?
Kyle Gendreau: Yeah, that's correct.
Reza Taleghani: Yeah.
Anne Ling: Okay, okay. Got it. And then my second question is also regarding the balance sheet. I remember that management talked about $600 million debt that we raised in the last round, which carried a higher interest rate. So if there's anything that -- if things recover -- if market recovers, I think you mentioned about towards end of this year you will pay down this debt. So based on the current trend, do you think that this is what you have in mind? And, secondly, also regarding the covenant, would you remind us, like, what's the covenant requirement for -- starting from third quarter year 2021? I remember that we can pick any three quarters in year 2019 plus that current quarter. But what was the component requirements, is that different per quarter? Thanks.
Reza Taleghani: Yeah. So let me start with the covenant answer just because that's the last one that you asked about. So our current covenant is that what we call a suspension period through Q2 of 2021. So Q3 is the first period that gets measured again. So during this period, the only covenant is minimum liquidity of $500 million, which obviously is $1.5 billion, so we feel very, very comfortable we meet that. After Q3 of 2021 there's two covenants that come back. There's a total net leverage number, and interest coverage. The net leverage covenant is just net debt divided by pro forma adjusted EBITDA. And the interest coverage is just -- pro forma adjusted EBITDA divided by consolidated net interest expense. So those are the two. As we look at the balance sheet in terms of repayment of debt, we are monitoring it. Obviously we feel really comfortable in terms of our liquidity, position in that $600 million. That $600 million there's a non-call period that expires, one-year from the issuance. So, in April, around the corner is when the non-call period that basically goes away. And so after that, we'll sit down with our Board and discuss, what's the best thing to do. We are mindful of that is the most expensive piece of debt, but we're also mindful of the other tranches of debt that we have and access to the different markets. So what we'll do is an analysis of, what does it do to the liquidity of that tradable instrument? What does it do in terms of our relationship lenders, in terms of paydowns? So that's an analysis that we're going to have to do in terms of the different tranches of debt. And figure out what makes sense to pay down. But we'll do that probably a little bit closer to the half than now, until we have better visibility.
Anne Ling: Okay. And do you disclose that per quarter what, was the requirement regarding the net leverage ratio …
Reza Taleghani: Oh I'm sorry…
Anne Ling: …and also the covenant?
Reza Taleghani: Yeah. Yeah. So the way that the covenant is calculated, I'm sorry, I think I missed that part of the question. It's basically -- it takes the -- the current quarter for instance, doesn't count. So what you're doing is you have this concept of substitute EBITDA that goes into the calculation. So, when I say, you're looking at adjusted EBITDA, you're taking the last 12 months of adjusted EBITDA. But the first measurement period for that will be Q3. So what you would do is you would take whatever the adjusted EBITDA for Q3 of this year is, then you would take Q2 of 2019, Q1 of 2019. And then, Q4 of the -- now I'm getting my years mixed-up, but same thing. You're basically taking prior measurement and plugging those in. And then, every quarter, subsequent quarters, so when Q4 happens, you would drop-off that substitute, Q4 measure from the previous year. And substitute it. So you're basically having a normalized EBITDA, saying that, in 2019 we had normal operations. And whereas the 2020 numbers don't count, the numbers from the suspended period don't count. And the quarter that we've said Q1 and Q2 of this year, also don't count towards the measure.
Kyle Gendreau: And it's five -- it's five times.
Reza Taleghani: Yeah. And it's five times is the, net leverage number. Yeah.
Anne Ling: Okay. Okay, so. Thanks.
Kyle Gendreau: Thank you. Those are all disclosed to the book -- covenant measures are disclosed in the annual results.
Operator: Thank you. Our next question comes from [Indiscernible]. Please go ahead. Thank you.
Unidentified Analyst: Hi. Thanks for the very clear briefing. I have two questions. My first question is with all the sustainable cost saving measures you have achieved. And as you move towards DTC which is higher margin, should we be confident that when we return to let's say, pre-COVID level, the 2019 revenue level, EBITDA margin will be much higher. I think that's what you indicated right, in the briefing. Just want to confirm. Or do we need to add back sales force, at stores or spend on marketing that the EBITDA margin can't be too different? And my second question is could you please elaborate on the gross profit margin trajectory in 2021 and 2022, based on the revenue recovery trajectory you mentioned? Thanks.
Kyle Gendreau: Sure. So you're exactly right. Our views are as business gets back to kind of 2019 levels, a lot of the initiatives that we've done we should be able to maintain. And you will see a different EBITDA profile for this business. And so, said differently, mid-teens exit run rate for the end of this year with a business that's still recovering. Once we get to 2019 levels, our EBITDA margin should be in a much better place, and so all of our forward modeling would point to that. So that's the right assumption. And your second question was...
Reza Taleghani: Gross margin.
Unidentified Analyst: Gross margin, yeah.
Kyle Gendreau: So gross margin, yeah, again, as business continues to move, and we get out of effectively what you had happening and last year was so mix, effects but also some liquidation effects. The normal run rate profile for this business from an EBITDA margin perspective has been around 55%. And my view is as we get into the second half we'll be kind of in that ZIP code. I think it will be 54%, 55%, margin for the second half. You'll see a little bit of pressure in Q1, as the sales continue to kind of be in this kind of down 58% range. But it will build -- we won't have the same reserve profiles that we talked about last year, which were a big part of the bridge that Reza laid out for you. And so from where I sit today, I think our margin profile can get back into the ZIP code of let's call it mid-50% range, really in the back half of this year. And the reality is we've had a long history of managing in that level. I don't think there'll be a tremendous shift in kind of mix profile of the business. And if you really take a medium-term view, I think, we'll still have a component of wholesale retail and e-com. E-com will become a bigger mix over time. But from a margin perspective, I don't think that's going to dramatically change the gross margin profile of the business on a go-forward basis.
Unidentified Analyst: Okay. So…
Reza Taleghani: And just to add to it. On an adjusted basis, the number that we were saying, so if we were to back out just the one-time inventory and the other items, so we were just shy of 52% gross margin for the year. And so, it's not that much of a stretch to try to get to a more normalized number to the point that Kyle was making.
Unidentified Analyst: Yes. Can I just ask two follow-up questions on that? Actually, I noticed that you mentioned that the normalized margin is almost 52%. But if I back check the 4Q 2020 margin, gross margin with your guidance before, because you also mentioned some normalized gross margin in the -- I think in second quarter and the third quarter. The fourth quarter margin was a big hit. But is that like a one-off inventory research write-off thing, like, that shouldn't be recurring, I guess, that's what you meant, right? And then, my second -- 
Reza Taleghani: Yes. I mean, we had about $59.7 million of just inventory provisions in 2020. I mean that's meaningful. And then we have -- within the COGS line you had another -- shy of $13 million of restructuring and non-cash impairment stuff that flowed into the cost of goods sold line. So, I mean, those are obviously bigger numbers that affect us.
Unidentified Analyst: Okay. And is it possible to get some light on, like, the normalized EBIT margin after we come out of COVID, like, how much higher it will be? What is 2022 or 2023 like, when things are normalized?
Kyle Gendreau: EBITDA margin? 
Unidentified Analyst: Yes. Compared to -- 
Reza Taleghani: Or growth margin?
Unidentified Analyst: EBITDA margin compared to 2019 EBITDA margin, let's say, when sales return to 2019 level, like, what sort of ballpark figure? Like how much higher EBITDA margin will be? I mean, some color on this.
Kyle Gendreau: So, what I would guide you is -- if we get our gross margins in this 55% range, which is kind of where our historic run rate is, which I think we will comfortably do. And if you take $200 million of fixed savings that we think we can maintain and you apply that to our 2019 levels and remember 2019 was -- EBITDA margin was a little bit low, because we had tariffs hitting the U.S. So the U.S. was feeling -- our gross margin was under a little strain at the end of 2019 because of the tariff movement. So if you normalize for that and take the $200 million, you can do the math to see what that can do to the margin profile of this business. So what I would say is, comfortably in the mid-to-upper teens is the way to do the outlook. But I'd let you do the math to figure that out.
Unidentified Analyst: Okay. Great.
Kyle Gendreau: And we feel very good about the cost -- the restructurings we've done in the business and our ability to maintain those. If we're smart around driving revenue growth while maintaining a disciplined cost structure which we'll be able to do, I think, the outlook is quite bright for us from a margin perspective.
Unidentified Analyst: Okay. Great. Thanks.
Kyle Gendreau: Yes. Thank you.
Operator: Thank you. Our next question comes from Dustin Wei with Morgan Stanley Hong Kong. Please go ahead. Thank you.
Dustin Wei: Hello, management. Thanks for taking my question. So I think it's very positive to sort of hear from you guys that the EBITDA margin could hit like mid-teens level in the second half of this year. But just -- I probably also want to have some of really downside protection, just in case that international travel doesn't really come back as sort of, which we want to expect that to be. What's your feeling about the lenders now? Like, if there's really some of the derail of the recovery you think that the lender will easily to just, sort of, postpone some of the measurement of the covenant, given that the company has accomplished such a great cost-saving initiatives in 2020? And then second question related to the debt payment is that, sort of, mentioned that you could pay down some debt in the second half. And I think initially you probably would just use the extra sort of idle cash to pay that down. But going forward, when we think about 2020 and 2023, you are going to just use the internal cash flow to pay down the debt, or you will consider other measures? So those are sort of two questions related to balance sheet and I want to ask a few more on the P&L. Thank you.
Reza Taleghani: Okay. Let me take both of those Dustin. So as it relates to the lenders and again, I'm going to just tell you having been a lender for a lot of my career, obviously, we have very good relationships with our lenders. We have a lender call actually after this just to update them as well in terms of the performance. I'll start by saying that I still think that we're going to be okay in terms of meeting our covenants. If for whatever reason there's not the sales recovery in the back half of the year, what I would tell you is, when we went to get our amendment and waivers last year, we were literally staring at no visibility as to the revenue environment and promising a lot of actions as it relates to costs. That's why we went to our lenders to do. We also at that time, put forth a set of projections for them, which we have beat both in terms of the EBITDA measure that was there and significantly beat in terms of what we did on SG&A. So if we had to go back, I think, we would go there from a position of having delivered on all of our promises and lend some. And again, these are very long-standing relationships. And as we've said on the prior calls, keep in mind the lenders that we're going to are our core relationship banks. They're the ones that would dictate the waiver, not institutional. I mean, we care about our institutional lenders as well, but it's the core relationship banks that would determine the waiver. So you never know. But at the same time, banks don't typically want to put you in default, if it comes to that.
Dustin Wei: Of course.
Reza Taleghani: So I think we go into it with a position of feeling pretty good about our relationships, having delivered on everything that we had control over. And if the revenue environment is delayed, it's delayed. And by the way, we have ample liquidity anyway. So it's not like the business is under stress. So that's the first thing that I would say in terms of -- on the covenant side. As it relates to debt pay down, obviously, we're sitting on a lot of cash. It does increase the interest expense that we have. So we will probably do something at some stage. We have to sit down with the Board to discuss that, as we talked about a little bit earlier. And then, yes, I mean we've always stated that our goal is to be in the mid-2s or two in terms of leverage. So I don't think that's changed at all in terms of our objectives. This business can support leverage as you've seen, but at the same time -- and it can generate a lot of cash flow as you've seen, but that's not the way that we manage the business. We're a conservative bunch here. And so, I think we have every intent of continuing to delever. Kyle, I don't know if there is anything you want...
Kyle Gendreau: Yes. No I think that's exactly right.
Dustin Wei: So in terms of the measures to pay down that debt you will probably assume that use the -- just the internal generated EBITDA to pay that down, right? That would be the sort of default option.
Reza Taleghani: Yes. Yes. I mean, we would use some of the cash that's on the balance sheet obviously as a first token. And again, just so you understand the thought process that goes with that. If I simply went to it and say, I want to manage the P&L and pay down the most expensive debt, you would obviously pay down the $600 million we just raised, that we never touched as an insurance policy. But, if I'm thinking of it as a balance of that versus liquidity, if I pay down the revolver I can always draw down again. And you do want to be fair in terms of managing the lender group so that people -- like there's different objectives. There's a different objective of trying to make sure that there are the pro-rata lenders have some of the exposure coming down and it's reborrowable from our perspective. There's an objective in terms of interest rate expense that we would weigh obviously from our side. There's an objective of not paying down debt too much on an institutional tranche, so that it's still tradable for those investors. So we weigh all of those things and it's not just the selfish what's best for Samsonite. It's what's best for the market for everything because these are stakeholders ultimately. And we want to make sure that we have access to these markets in the future too.
Dustin Wei: Thank you. That's very clear. And in terms of the P&L, I think this $200 million sort of sounds like a permanent saving for the company. And I think just to get that right, you mentioned that there's an $80 million sort of saving related to the non-retail headcount like 26% reduction. So, is that sort of $80 million out of that $200 million, is that correct? And then so for the rest of the saving...
Reza Taleghani: Yes I walk you through the bridge of that Dustin. It's -- so the actions taken. I'm going to split it to between years as well just to make it clear. So the composition of that $200 million is, there's $186 million that comes from actions taken in 2020 and there's $15 million, so it's a little bit of rounding but just another $14 million and change million that is actions that are being taken right now or have been taken in Q1 of this year. And the breakdown of it is, there's $80 million of it between -- there's $78 million that was head count in 2020, $2 million that's head count in 2021, and then the store actions was $107 million in 2020 and $13 million in 2021. And the reason for that is basically, some of the store negotiations dragged on over the course of the year, so they rolled into Q1 and so some of those store actions are being taken now. So that's the composition of the $200 million.
Dustin Wei: Okay. That's great. Thank you. And then so related to the inventory provision that also hit the EBITDA margin and hit the gross margin. But I believe those luggages and suitcase can probably can be resold? So I think my question is that, are we going still to see the inventory provision for 2021? And then some of those luggage if that's been sold are we going to see the write-back on those inventory provision?
Reza Taleghani: You could see some of it, but most of what was done there is we had a separate initiative that we were working on rationalizing the SKUs. So if you looked at the composition of what we had in inventory, there was everything from -- certain SKUs like certain colors that were put out or certain accessories or certain product lines that we were discontinuing. And the view was to basically rationalize those as much as possible. So what we didn't do is if you had a core collection that continues to sell, obviously one of the things that we're proud of here is the fact that our inventory doesn't go bad. So if you had a piece of luggage that we think that is still relevant that's going to be continuing to sell this year, we're not taking active. We're looking at what the sell-through is and taking provisions on those. So I wouldn't anticipate a huge number. There'll be a little bit of that Dustin, but it's not going to be a large number.
Kyle Gendreau: We push very hard in year to ensure that we positioned our inventory as clean as it can be stepping into this year. So, I think the earlier question asked, can we expect this was just kind of a one-off? I would say it was a thorough process to ensure as we stepped into 2021 we're as clean as we can be from -- so that we can get the margin where we need it.
Reza Taleghani: And Dustin, one other point is really if you think about it in my sheet where I was talking about the net working capital specifically we actually did a bunch of selling already in terms of getting the inventory levels down. So a lot of that's happened too.
Kyle Gendreau: Yes. 
Dustin Wei: Got it. Thank you. So sort of last two quick question is that the GP margin again love to see that you said kind of go back to 55% in the second half likely. But in the presentation you also mentioned that the freight cost and the raw material and there's like I think the GSP in the US that could become the pressure for the GP margin sort of uncertainty. Could you sort of talk about that? And the last one is really the cash burn. So I think you talked about the inventory build in the second -- first half in order for the recovery for the sales. But so – how should we think about the overall sort of cash bearing including the potential increase of the CapEx? Thank you very much.
Kyle Gendreau: Yeah. So from a margin perspective, GSP is a piece, but we expect GSP to be renewed. So it's just been stalled and the renewal with the change in administration is our view. All of our kind of insights would say, GSP should get approved sometime in the second quarter is our best read. So that won't have an effect on us on a go-forward basis. So it's having a bit of effect, as we step into Q1. And typically, when GSPs renew they gets a retroactive treatment. So we'll get some benefit from that. From a cost perspective, we are seeing some cost increase. We're seeing some raw material cost increase. We're seeing some shipping costs increase in the short term. If you look at kind of the news on container shortages and the cost of shipping that's having some impact as well. You'll see some of that in our Q1 numbers for sure. We're working very closely with our suppliers to manage through the cost pressures on raw materials. And what will happen – what typically happens is we have to pass that along. It's the entire industry that will be feeling that. And so we're working closely with our suppliers and our customers to manage through that. It's fairly transparent, because everybody can see where that is. And our views are we'll be able to navigate that. And really as we get to Q3 and Q4, our views, our volumes start to come up where we're able to kind of manage some of the cost structures of our own manufacturing plants, and we'll be able to manage through some of the pressures on raw materials. We do think the shipping costs will start to kind of settle out. I think they'll remain higher, but I think they'll normalize from maybe what we're seeing initially here in Q1 for sure. And so blend all that together, I think you'll see a building margin story for Q1, Q2 getting to the levels that I indicated for Q3 and Q4.
Reza Taleghani: And as it relates to cash burn Dustin, what we would guide you towards is we are in an inventory environment, which is normalized. So basically, go look at what we did Q1 of last year, or Q1 of any year frankly. But if you look at last year, we're going to be somewhere in that ZIP code, because we're doing a normal Q1 inventory build to prepare for the summer, because we expect the back half of the year to be normal. And so that's one thing. The other thing that, I'll say to you is some of the inventory that we were planning to purchase in Q4, because we saw the sales slowdown we pushed it. So that will roll into Q1 as well. But again, if you look at kind of like what we did Q1 of last year, it will be probably within $10 million, $20 million of that.
Dustin Wei: Okay. So the full year sort of cash burn will still significantly lower than that in like 2020 right?
Reza Taleghani: For sure, yes, yes.
Dustin Wei: All right. Thank you very much guys, all very clear. Thank you.
Kyle Gendreau: Thanks.
Operator: Thank you. We have our last question today and that comes from Terrance Liu with CLSA Hong Kong. Please go ahead. Thank you.
Terrance Liu: Okay. Thanks, management for the presentation and taking my questions. So I'll have two questions. First is, speaking of your like 2021 sales and guidance, I think, if I do a simple math and add up of those you guide for individual quarters, I think probably 2021 sales will be around 60% to 70% of 2019. And I think, if I remember correctly, I think in the third quarter conference call, you've guided for around 70% of 2019 sales in 2021, and around 100% recovery in 2022 compared with 2019. So I'm not sure, if it's fair to see that, we are still seeking to that guidance? And my second question is regarding your fixed cost saving. I think you mentioned around $200 million run-rate fixed cost savings in 2021, but I'm just wondering how much of the – like 2020 temporary saving could be extended to like 2021? And what's your plan regarding the advertising and promotion spending in 2021? Thank you.
Reza Taleghani: Why don't I start in terms of your question on the sales forecast. The way that I would think of it is, let's just talk about halves. So – and I'm going to pick up on some of the points that Kyle made a little bit earlier. I think if you're looking at where we stand with Q1, if you're looking at the first half, we're probably going to be somewhere – and again, this is versus 2019 level sales will probably be down somewhere in the mid-50s compared to that. Our expectation on the second half is the 30% to 40% down which is what Kyle said. So if you blend that that should give you an idea in terms of where the sales are coming in and it gets you to that margin profile by the end of the year that ends up being in that mid-teens EBITDA margin point that Kyle made a little bit earlier. I forgot the second question. Sorry.
Kyle Gendreau: The second question is kind of -- so we had given some thoughts on 2022, obviously and we're all kind of always looking at kind of where we think this business will be. From where I sit today if you look at, kind of, what we're guiding for the second half of this year, I think the right way to think of it is we will probably exit run rate 2022 at 2019 levels. So I think when we get into this last year, I don't think anybody really knows exactly when kind of recoveries get there. There's a lot of data out there on kind of just general travel when travel recovers. One thing for sure is it will recover. It's just a matter of getting the timing kind of our best views on the timing. My personal view is we will comfortably exit 2022 run rates at 2019 levels. And so if we're down 30% or 40% to 2019 at the end of this year and we think exit run rate will be really approaching historical levels you can kind of do the math through the quarters for 2022. I don't think 2022 will be at 2019 levels. I think it will exit at 2019 level run rate. Hopefully that's clear, I think. From an advertising perspective, we're managing it very closely right now. And I think for the full year we'll spend somewhere between 4% and 5% on advertising. If we can get a little bit of kind of meaningful tailwind, I do think there is a real pent-up travel boom that is coming so we'll be watching that closely. And we'll make some decisions on dialing that. But I think on a blended basis you should expect around 4% to 5% advertising from a spend perspective percent of sales. 
Reza Taleghani: And we're lower than that right now. 
Kyle Gendreau: And we're running tighter right now. As far as temporary savings, we are hanging on to a good amount of temporary savings as we step into this year, okay. Particularly in Europe where many of our employees are still on furlough or temporary unemployment as Europe continues to be in many markets pretty heavily locked down where employees aren't in the offices as of yet. And so we are seeing and hanging on to as many temporary savings as we can. And in the US, for example, much of our store fleet are open now. And many of -- much of our temporary savings were coming from having kind of our stores closed employees in furlough. But the US is a little further along as far as reopening stores whereas Europe still has the meaningful amount of stuff that's continuing to be locked down. And so we'll get the benefit of those temporary savings and we'll be watching for how we turn those on and turn those stores on and get people back into the work environment as we start to release some of those. So there will be some benefits there.
Reza Taleghani: Mostly in Q1 and Q2.
Kyle Gendreau: Q1 and Q2, yes. 
Terrance Liu: Okay. Sure. Thank you.
Kyle Gendreau: Yes, thanks,
William Yue: Great. Thank you very much, Kyle and Reza for the presentation and the Q&A session. And thank you everyone for joining the call. And we will be terminating -- we will be finishing up now. Thank you very much. And as always, if you have any further questions feel free to contact me. Thanks.
Kyle Gendreau: Great. Thanks everyone. Thank you, William. 
Operator: Thank you. Thank you for your participation. This concludes the conference.